Operator: Ladies and gentlemen, thank you for standing by and welcome to the Barrick Gold Q4 Results Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded, Thursday, February 14, 2013. I’d now like to turn the conference over to Greg Panagos. Please go ahead, sir.
Greg Panagos: Thank you, operator. Good morning, everyone and thank you for tuning in to Barrick Gold’s fourth quarter and full-year 2012 earnings conference call. I’m Greg Panagos, Senior Vice President of Investor Relations and Communications. With me today are our President and CEO, Jamie Sokalsky; our Senior Executive Vice President Kelvin Dushnisky; our Executive VP and CFO Ammar Al-Joundi; and our Executive VP and Chief Operating Officer, Igor Gonzales; and our Senior VP of Global Exploration, Rob Krcmarov, all of whom will be available to answer questions after the presentation. Before we begin, I’d like to point out that we will be making forward-looking statements during the course of this presentation. For a complete discussion of the risks, uncertainties, and factors which may lead to our actual financial results and performance being different from the estimates contained in our forward-looking statements, please refer to our latest year-end report or our most recent AIF filing. And with that, I will turn the call over to Jamie.
Jamie C. Sokalsky: Thanks, Greg, and thank you everyone for joining us today. Before I begin the presentation, I’d like to acknowledge that today we announced that Igor Gonzales, our COO will be retiring this year. And on behalf of the entire organization, I’d like to thank Igor for the tremendous contributions he has made over the years. Igor joined the Company in 1998 and served as President of the South American region until his most recent appointment as Executive Vice President and Chief Operating Officer in 2012. He played a key role in the growth of South America and has been an outstanding leader and role model to many. All of us here wish him well in his retirement. Igor intends to remain with the Company until his successor is appointed and we will immediately commence with a global search. Thank you, Igor. So turning to the presentation, as you all know we reported our fourth quarter and full-year 2012 results and 2013 outlook today. First, I’d also like to acknowledge that 2012 was a difficult year for Barrick and no doubt disappointing for our shareholders. I can assure you that I share your disappointment. Today I’d like to review some of the challenges we faced and how we’re dealing with them head on. But also many of the accomplishments we had and the opportunities we have going forward. In this presentation, I will also provide an update on some of our priorities as well as the progress we’ve made in achieving them. We made some significant strives in the implementation of a stricter, more disciplined approach to capital allocation, a model which continues to drive the future direction of the Company. So turning to our financial results, the net loss for the fourth quarter and full-year reflects a $3.8 billion after tax impairment charge for Lumwana. I will speak a little bit more about that in a minute. Other asset impairment charges in the fourth quarter include a $155 million on various properties and our oil and gas business unit, a unit that we have up for sale at the moment and a write-down of our investment in Reco Diq of a $120 million. Our fourth quarter adjusted net earnings per share on an adjusted basis were $1.11 and full-year adjusted net earnings of $3.82 per share were the second highest in the history of the Company, again, on an adjusted basis. Our full-year operating cash flow of $5.4 billion was the Company record. Fourth quarter gold production of 2 million ounces was very strong and allowed us to meet our full-year production guidance. Our copper production of about 470 million pounds reflected a steady year from Zaldívar and an improving fourth quarter from Lumwana. I'd also like to highlight that we're now reporting an all-in sustaining cash cost metric, which I'll also discuss more in a moment. In the fourth quarter, all-in sustaining costs were $972 per ounce and for the year, they were $945 per ounce while total cash costs for 2012 and the fourth quarter were $584 per ounce. So you can see we're putting a higher prominence on the all-in sustaining cash cost metric because we feel that is a more meaningful statistic and more in line with how we're managing the business. We replaced our gold reserves which stand at approximately 140 million ounces at the end of 2012 and this is the 7th straight year we have either increased or replaced reserves. And our exploration work was successful in doubling the resource at Goldrush in Nevada from 7 million ounces to 14 million ounces. Goldrush is an exciting project in Nevada, which is one of the most respective mining-friendly jurisdictions in the world. Now I'd like to address the Lumwana write-down up front. As you know, we acquired Equinox in 2011 and with it came Jabal Sayid, a project in construction in Saudi Arabia and Lumwana with a producing mine in Zambia. Lumwana is comprised of an original smaller pit Malundwe and an adjacent much larger undeveloped ore body Chimiwungo or Chimi. In our view, when we acquired Equinox, the major value lay in the potential at Chimi. At the time, this ore body had some drill results that indicated significant potential for copper and was part of an excellent land position in one of the most perspective copperbelts in the world. So with this view, we moved quickly to drill the Chimi ore body to establish exactly what was in the ground and how to most efficiently exploit that asset. That drilling, which was one of the most extensive programs of its kind in the world, was finished late last year and from the results, we develop a block model and then a more comprehensive mine plan with updated cost estimates. And what we found is this. There clearly is an exceptional amount of copper at Lumwana, but mining this copper would be a much higher cost than was originally anticipated in 2011 when we bought the asset; costs which included doubling of the royalties by the Zambian government since the acquisition. It is not any decrease in copper endowment to cause the write-down; it's the increase in expected future costs and the new life-of-mine plan. I should mention that Chimi represents about 85% of the reserves and the production of Lumwana going forward. As most of you know, the operating results at Lumwana have been disappointing since we acquired Equinox. They've been unacceptable actually. One of the promises I made when I took my new role was to focus on Lumwana and I've established a new team dedicated to the copper business, a global copper business unit run like one of our regional gold business units. We completed the drilling and established a realistic cost basis for mining and then we deferred the expansion to focus on cash flow and value creation rather than a focus on production. We now know more clearly what we've got there, and although we are of course disappointed with this impairment, we're now in a position to look to the future with this mine. And our goal is to now extract the most from this asset going forward. Finally, I also want to reemphasize the huge optionality to copper prices we have with Lumwana. Just to give you an example of the project sensitivity, about 50% per pound copper price increase could result in the potential doubling of reserves from where they are now. It remains a multi-decade mine on one of the best copperbelts in the world and a great option on the copper price. Let's talk about our 2012 priorities and progress. In July, after announcing a CapEx increase and a schedule delay, we made getting Pascua-Lama back on track a top priority for the Company. We strengthened the project management structure and transferred construction management to the industry experts. And recently we finalized the cost and schedule estimates and I am pleased to report that they remain unchanged from our last guidance. Pascua-Lama is one of the most complex, scrutinized, capital intensive projects in the world, but it will also be nothing less than one of the world’s top gold mines and I’ll talk more about that later in the presentation. Another major milestone in 2012 was completing the Pueblo Viejo project in the Dominican Republic another outstanding asset that’s going to ramp-up, has gone quite well and the mine should be at full capacity in the second half of 2013. And at Lumwana our new dedicated copper management team are working on advancing a number of key initiatives, and some of those initiatives include improvements to operating systems and processes and a full transition to an owner maintained operation versus a reliance on contractors, a focus on higher utilization and productivity of the mining fleet has also been identified as one of the major opportunities to improve value. And while the mine is expected to improve in 2013, we still have work to do at this transition year as we look to implement some significant operating improvements. So as a result the guidance for ’13 is 210 million to 250 million pounds of production at C1 cash cost of $2.70 to $3.10 per pound. This guidance reflects real expectations for improvement over 2012, but our goal is to make a further significant step change at Lumwana after 2013. Hitting our operating targets has always been a priority for Barrick. We had some mines miss targets last year, but I’m confident that our portfolio will deliver in 2013 in line with our plans and in line with our excellent operational track record. As I mentioned, we replaced our large gold reserves and importantly doubled the resource at Goldrush. There are also some very critical social responsibility practices in which we have made some great progress. In 2012 we are re-listed on the Dow Jones Sustainability Index for the fifth year in a row and recognized as one of the top 100 sustainable companies in the world by NASDAQ. Last but importantly we made fundamental changes in line with a more disciplined approach to capital allocation. At Barrick we’re committed to doing more and we know that investors are demanding it. Pictures speak a thousand words, and this chart demonstrates very clearly why investors are demanding that change. Rising costs, poor capital allocation decisions and a pursuit of production growth at any cost have significantly dampened investor confidence and enthusiasm for gold equities. As a result gold equities in general and our shares are certainly no exception has underperformed gold, and equity valuations across the sector have declined significantly. I am sure this is no surprise to anyone on the call. You can clearly see the decline of the Gold Equity Index, the Philly Gold Index as a percent of the gold price on the slide. The message from investors is clear and rightfully so; we need change. And I and the Barrick management team have all been focused on making key changes in order to do a better job of delivering value to our shareholders. It's been over eight months since I first took on the role of CEO, and in July I told you I was repositioning the Company around a new strategy framework, a new paradigm, one that prioritizes shareholder value creation to a focus on maximizing risk adjusted rates of return and free cash flow. A highly disciplined approach to capital allocation and in effort ultimately to return more capital to our shareholders. Investors in Barrick and in gold shares in general have made it very clear that they will not reward production growth in and of it's self as they did in the past. They’re looking for value creation in the form of improved rates of return and free cash flow that in turn will produce increasing returns of capital. On the basis of these two key criteria all options including investment and exploration, ore projects, acquisitions, returning capital to shareholders are right and prioritized. I know you heard me say this before, but I'll say it again and I’ll keep saying it because I believe it's the right path for Barrick. Returns will drive production. Production will not drive returns. We've made considerable progress on the further implementation of this framework. Starting this quarter and going forward, I mentioned we'll be reporting an all-in sustaining cash cost measure, a more meaningful metric that really truly better reflects the actual cost of producing an ounce of gold. It's aligned with our determination to maximize return and free cash flow, and it's how we're actually managing our business. Cost management is now more than ever an integral part of our framework. Last year, we announced that about $4 billion in previously budgeted CapEx have been cut or deferred. In the fourth quarter, we launched the global review of our overhead costs with the objective of identifying sustainable reductions. And as an initial step, we cut our 2013 companywide overhead costs by more than 100 million and we expect further reductions, as we complete the review. In today's challenging environment, we have no plans to build any new mines. We do have a number of world-class ore bodies around the world which hold sizable economic potential but they do not currently meet our investment criteria. In the interim, we'll spend the minimum amount of capital required to maintain the economic potential of these assets, which make sense to do. Goldrush, in particular, located in Nevada is an exceptional opportunity and one we will continue to advance. There is tremendous potential, and as I mentioned, we more than doubled the gold resource and we plan to continue spending a significant amount of our exploration dollars on this property and in Nevada. We also revised our long-term gold production target from 9 million ounces by 2015 to a higher quality, profitable production base of 8 million ounces by 2016. And went Pueblo Viejo and Pascua-Lama are at full capacity, together they are expected to contribute about 1.5 million ounces of annual average production in the first five full years at average all-in sustaining cash costs of $250 to $350 per ounce. Another metric that I think is important to look at is the total cost per ounce, including the depreciation of the mine construction CapEx, the cost to build the mines. And that equates to $600 to $700 per ounce of fully-loaded costs including the depreciation of mine construction CapEx. Some of this production will be additive to get us to 8 million ounces, but some will also replace high cost, short life production. And adding in this low cost, long life high-quality production on an organic basis is one of the best ways we know to keep our operating costs low. We continue to actively pursue opportunities to optimize our existing portfolio, including the potential sale of Barrick Energy and other assets like Kabanga, our 50% nickel project joint venture which are non-core and/or high-cost short life and low free cash flow generating. We have launched a process to market Barrick Energy as we speak. We better align the incentive programs with our focus on disciplined capital allocation and maximizing risk-adjusted return and free cash flow generation, much more away from a focus on just production and cash costs. So management and employees will be directly compensated, incentivized more in line with how we are actually now running the business. A little more in all-in sustaining cash costs. So, all-in sustaining cash costs for the year were just under $1,000 at $945 per ounce. If we're serious about disciplined capital allocation, we must be serious about how we measure ourselves. Again, it's about how we're managing our business and all-in sustaining cash cost tie in with that. While it's not a new measurement to us internally, we believe it's important to also convey to investors that this measure is important and move away from only discussing cash cost. It's also what we believe investors want us to do and what we're hearing from them. We and our peers as members of the World Gold Council have been working to define and develop this metric that better reflects the total cost of producing an ounce of gold. This standard should be finalized by the members of the WGC in the middle of this year and we to conform our disclosure to the measure that is ultimately approved. Our current definition of all-in sustaining cash cost starts with total cash cost, but also adds sustaining capital expenditures; G&A cost, mine site exploration and evaluation costs, and environmental rehabilitation costs. The components of total cash cost as you can see on the right of this chart, which is the largest component of all-in sustaining cost, breaks down as follows, as you can see here about 40% of our overall cost structure is labor, 20% consumables, 15% energy, 10% maintenance, and 15% other like royalties and taxes and other overhead. And as a priority we continue to evaluate ways to meaningfully reduce all of the components of all-in sustaining costs. I will also briefly highlight our operating results in each of our regions. Almost 50% of our fourth quarter and full-year 2012 production was from North America and the region also host about 40% of our proven and probable gold reserves. Of this, Nevada alone represents almost 90% of our total North American 2012 production and about 70% of the regions reserves. About 1/3 of the entire gold reserves in the Company are in Nevada. During the fourth quarter North America produced just under a million ounces at all-in sustaining cash costs of $823 per ounce. Two of our largest core operating mines, Goldstrike and Cortez are in Nevada and produced almost 700,000 ounces in the fourth quarter. Just two mines produced almost 700,000 ounces or about 1/3 of our total Company production. And full-year production from these two world class mines was more than 2.5 million ounces. Again, more than 1/3 of our total production. And we have one of the most exciting exploration finds in recent memory, the Goldrush discovery to ultimately add to this Nevada production in the future. The South American business unit produced just over 450,000 ounces at all-in sustaining cash cost of $742 per ounce in the fourth quarter. And if we look at the core assets there during the fourth quarter, Veladero and Lagunas Norte produced a total of 436,000 ounces and more than 1.5 million ounces for the full-year, which is more than 20% of our total production in 2012. So in total, about 55% of our total 2012 gold production or about 4 million ounces came from just four core world class mines in the Americas, Goldstrike, Cortez, Lagunas Norte and Veladero. If that was a separate company, excluding Barrick as it is now, it would be the third largest gold producer in the world. Rounding out our fourth quarter total production, Australia Pacific contributed 470,000 ounces at all-in sustaining cash costs of $1,247 per ounce and we have fourth quarter attributable production from ABG of 134,000 ounces at all-in sustaining costs of about $1,300 per ounce. As most of you know in early January Pueblo Viejo achieved commercial production. The ramp up continues to go well especially considering the processing complexity, the scale of the autoclaves and the sheer size of the mine. We’re targeting the ramp up to full capacity in the second half of this year. We think we’re on track for that. Our share of average annual gold production in the first five full years is still anticipated to be 625,000 and 675,000 ounces at all-in sustaining cash costs of $500 to $600 per ounce. And $650 to $750 per ounce if we include the depreciation of the initial mine construction CapEx. For 2013, we expect our gold production to be a fairly wide range of between 500,000 and 650,000 ounces at all-in sustaining cash cost of between $525 and $575 per ounce. This mine is an outstanding asset with a mine life of more than 25 years. A number of you’ve asked recently about news reports that the Dominican government is seeking to renegotiate our agreement. Let me just say that the Dominican government will benefit substantially from this mine, retaining at least 50% of its economic benefits to royalties and taxes for its total about $11 billion over the life-of-mine at prevailing gold prices. In addition, we continue to add to the local economy by purchasing goods and services and of course by providing employment. In fact, we're very pleased that although 90% of the 1,500 operations employees are Dominicans with one half of these coming from surrounding communities. Since the start of construction, we've spent some $15 million in community and social programs and also we have committed $75 million of cleanup legacy environmental damage from our previous mine at the site. The contract with the government cannot be unilaterally changed by either party. However, we do view the government of the Dominican Republic as a partner and so are always willing to discuss in good faith items as they may arise. Turning to Pascua-Lama; it truly will be one of the world's great gold and silver mines and you can see some of the progress in the photo on this slide. As I've said many times, this is the top priority for the company. I and the senior management team have invested a huge amount of time and energy to get this project back on track. I personally have now been to the site five times in the past nine months. Annual gold production in the first five full years is still expected to average 800,000 to 850,000 ounces at all-in sustaining cash cost of $50 to $200 and a total cost of $550 to $700 if we include the depreciation of mine construction CapEx. Based on about 18 million ounces of gold reserves, Pascua-Lama is also expected to have a 25-year mine life and also will be one of the world's largest silver mines. During the fourth quarter, the cost estimate and schedule for the project was finalized. And as I mentioned, I'm pleased to report that the expected total mine construction capital remains unchanged in the range of $8 billion to $8.5 billion, and that includes a 15% to 20% contingency on the remaining spend. First gold production continues to be targeted for the second half of 2014. We've finalized incentives for both Fluor and Techint based on the completion of the project in line with this estimate and schedule. In the fourth quarter, some pre-stripping -- the pre-stripping activities were halted in Chile to address certain matters that are the subject of ongoing legal and regulatory processes. The date the suspension of the pre-stripping has not changed the target of first production in the second half of 2014, but we will continue to monitor this closely for any potential impacts on timing of first gold. As of year-end construction was about 40% complete, largely in line with our plan and we had spent about $4.2 billion. Here's some recent photos that highlight some of the progress the team has made at Pascua-Lama. The 4 kilometer long tunnel which conveys the ore from Chile to Argentina ending at the covered stockpile, one of the photos in this slide, was about 70% complete as of year-end. And in January, we began construction of the primary crusher in Chile and advanced construction of the process plant in Argentina with approximately 60% of structural steel erected. Here is a photo of the recent progress made on the construction of the processing facilities in Argentina, and overall aerial shot of the processing facilities. And just to give you an idea of the scale and the magnitude of these facilities, the length of the process that you see on this photo is almost 2 kilometers long. And I think it's clear you can see how much progress has been made on the structures and putting the cladding on some of the buildings. So we've made great strides with the project. I mentioned I visited this site last month again with other senior Barrick management. We met with the Governor of San Juan who toured the site with us as well as the Fluor and Techint CEOs as well and all expressed their commitment to getting this project completed on time and within budget, and I was very impressed with the enthusiasm of everyone on the project. Our 2013 exploration budget is between $400 million and $440 million, which is a slight decrease from 2012. We're prioritizing our spend even further this year in line with our goal of maximizing free cash flow and a focus on the most profitable potential. Almost half of the budget is allocated to Nevada where we see the most potential in our portfolio. As I mentioned, Nevada is already home to two of our largest mines, Goldstrike and Cortez both million ounce plus producers and the new Goldrush discovery. The Cortez camp area of discovery history spans some 50 years or so, and it still continues to yield tremendous discoveries. Drilling in 2012 doubled and upgraded the resource space at Goldrush. Total resources have doubled from 7 million ounces to 14 million ounces. The updated, measured and indicated resource of 8.4 million ounces represents more than 500% increase from 2011. Additionally there are a further 5.7 million ounces in the inferred category. And the footprint of this deposit has more than doubled to greater than seven kilometers and the system still remains open in multiple directions. As this project advances to pre-feasibility a number of development options are being considered including open pit mining, underground mining or a combination of both. In addition shallow mineralization has been encountered to the west, and high grade mineralization has been encountered to the north which provides flexibility on mining and development options. While we’ve been focused on Goldrush in 2012, again its worth remembering that the Cortez camp contains a wealth of other exploration opportunities which we’re very excited about and think have excellent potential to yield additional new discoveries. Data from the newly acquired Mill Canyon property will be assessed in 2013, and we’re confident that we will generate high quality drill targets here. The Goldrush south target appears to be rated to a parallel trend developing to the east of the main Goldrush complex. The northern extension of the Goldrush system yield some very high grade dill intercepts and so far we see no reason to think the mineralization will not continue. And these are properties in Nevada, our core area. Nevada remains one of the most politically stable, mining friendly jurisdictions in the world, and the focus of exploration efforts in 2012 as we continue to advance Cortez. Ounces found and produced here in Nevada overall are among the most valuable in the world. The State is a cornerstone of Barrick’s operations and we have the benefit of significant existing processing facilities, significant and existing infrastructure and an experienced and high quality mining workforce. It's a huge benefit to the Company. Turning to the 2013 outlook. The outlook for our 2013 gold production is in the range of 7 million to 7.4 million ounces which is slightly lower than last year, and that reflects a change in the production mix as higher production in North America is offset by lower production in South America. That change -- that slight reduction from last year is due to a number of reasons which I’d like to go over. First, lower production from Goldstrike primarily due to lower throughput capacity while the autoclaves are being modified as part of the thiosulphate project. These modifications are expected to be completed in 2014, and then will result in increased overall throughput for this flagship operation. We also are experiencing, reduced production from Cortez this year as mining is restricted to a low grade zone of the open pit while we work through pit wall stability issues, which are expected to be fully resolved by late 2014. Lagunas Norte is entering a zone of lower grade and higher sulphide ore in 2013. Construction of a carbon-in-column circuit is anticipated to be completed by the end of this year and will allow for a better, long-term exploitation of the mine. Also a transition to lower grade ore at Veladero is occurring before returning to higher grade ore in 2015 after completion of a significant waste stripping campaign which we are going through now; and then finally also lower 2013 production guidance for African Barrick Gold. I should stress that a number of these factors are transitory, and we’re maintaining our production guidance of 8 million ounces by 2016; and we anticipate all-in sustaining cost to be between $1,000 and $1,100 per ounce in 2013 and total cash cost of between $610 and $660 per ounce for 2013 which principally reflects the impact of lower ore grades on production levels combined with rising labor cost due to significant inflation in certain parts of South America and increasing power, fuel and maintenance costs in Australia Pacific. Our copper production in 2013 is expected to increase between 480 million and 540 million pounds, primarily reflecting improved production from Lumwana. Our total C1 cash costs of between $2.10 per pound and $2.30 per pound reflect similar costs for Zaldívar and lower costs at Lumwana compared to 2012. And for 2013, we expect our share of capital expenditures to be between $5.7 billion and $6.3 billion, slightly up from 2012 but not significantly so. This slide highlights our key priorities for this year. Each priority supports our effort to reposition Barrick around a stricter model of disciplined capital allocation and produce higher rates of return and maximize free cash flow. I won't discuss these in detail, because I've just walked you through each of them. But let me say this, achieving each of these priorities is essential to the future of Barrick and our ability to provide returns for our shareholders, and we treat each of them accordingly. And we'll continue to strengthen our corporate social responsibility practice not only because it is the right thing to do, but because it is critical to maintain our license to operate and develop mines around the world. We will ensure that we continue to spend the right amount of money in this important category as we cannot compromise on our corporate social responsibility and our commitment to the communities and the governments and the countries in which we operate and doing good business, doing it in the right way. These are the objectives I've set for myself and the Barrick team and I fully expect to be able to report on our progress and the successful execution of these priorities as we move forward. So to wrap up, it's been a tough year for Barrick and our shareholders but I firmly believe we are making good progress and dealing with the issues like Pascua-Lama and Lumwana in a firm and active and urgent manner. I'm very confident that we're on the right track and optimistic about 2013 and the longer term. We're the world's leading gold company with a portfolio that includes a solid core of world-class assets and highly prospective mining-friendly jurisdictions, Nevada in particular, that are key drivers of value. And we are actively pursuing a portfolio optimization strategy to improve that portfolio. We have a new management focus that is already leading to better results and better disciplined with the goal of improving returns and free cash flows and ultimately leading to higher returns to shareholders. We're still in a high gold price environment with supportive price fundamentals, but I think there are many reasons to feel positive about both gold and copper prices but we just can't rely on those prices continuing to go up. We have to manage the business better. Cost control is also a vital part of the mix. We've reduced costs and we expect further progress across the organization. I've repeated that many times over the last three quarters and again many times throughout this presentation, production will drive returns not the other way around. Investors have been dissatisfied with capital allocation decisions in our industry and that is clearly reflected in the gold equity valuations. They will no longer reward production growth just for production sake to the same extent as in the past. They're looking for higher rates of return and free cash flow and not just production growth, and ultimately a greater return of capital to them. So it's a new paradigm. We've made fundamental progress and will continue to be a leader in our industry by being more disciplined in our allocation of capital. I know this company very well. The management team and all of the people in this great organization bring a wide range of experience, insight, perspectives and skills. I believe we have the best people in the industry to deliver the results our shareholders deserve and rightly expect and are demanding. So with that, I'll finish my presentation. Thank you for listening today and I will open up the line for questions.
Operator: Thank you. (Operator Instructions) And our first question is coming from the line of Kerry Smith with Haywood Securities. Please go ahead.
Kerry Smith: Thanks operator. Jamie, for the Goldrush, when do you think that you would have some sort of an engineering study on this project, in terms of what the scale would look like, what the scope would look like and what the timing would be like?
Jamie C. Sokalsky: Rob Krcmarov, could you take that question please?
Rob Krcmarov: Sure, Jamie. We’ve started doing – I should step back a bit, we completed the scoping study last year. It was based on last year’s resource. We’ve initiated a feasibility study, which is based on the updated resource. The prefeasibility study should be completed probably in the second half of next year and then we will advance that to a full feasibility study.
Kerry Smith: So its going to take you over 12 months to get the prefeas done, so it would take another 12 months to do a full feasibility, which would put you [through] 2015?
Rob Krcmarov: Yeah, I’m going to guess its going to take round about a year to do a full feasibility.
Kerry Smith: Okay. So that would be mid 2015 before you would have that done at that point of time? Then it would be – that maybe two, three years to permit?
Rob Krcmarov: Yeah.
Kerry Smith: Okay. Okay and then just on the reserves Rob, while I’ve got you, the gold price was up obviously on the trailing three-year average. So you are using, I think with 1,500 this year and it was 1,200 last year, the reserves didn’t actually go up. What would the reserves have been if you would have run them at 1,200?
Jamie C. Sokalsky: Kerry, I will answer that question. The reserve increase this year represented about half due to the price and the other half due to the drill bit. So, it’s not a perfect calculation, but approximately 50% of that increase was price related and 50% due to the drill bit. Our reserves really are not that sensitive to gold price changes. So, whether the price had gone up 1,500 to $1,500 or it stayed at $1,200 you would not have seen a material change in our overall reserves due to the quality of our reserves and the nature of the grades.
Kerry Smith: All right. Actually the grade -- the grade didn’t actually change from last year to this year on the reserves?
Jamie C. Sokalsky: Right.
Kerry Smith: So that’s – I thought maybe it wasn’t really (indiscernible) typical price. Okay. Okay, that’s good. Thanks, Jamie.
Jamie C. Sokalsky: You’re welcome, Kerry.
Operator: And your next question comes from the line of Horhay Beristain with Deutsche Bank. Please go ahead.
Jorge Beristain: Hi, Jamie. My question is that, right now in this world for metals and mining stock; it seems that there was more sellers than buyers. And I was wondering if you could just comment generally about the bid-ask spread, we’ve seen some recent asset sales in the mining industry go forward for sort of 10% of book values. Could you just comment a little bit about where you see the bid-ask spreads and what I am getting at is, would you be exploring other alternatives as a way to maximize asset value; for example an IPO or some kind of more creative financing?
Jamie C. Sokalsky: Sure. Hi, Horhay. Thank you for the question. I think you’d be surprised how many buyers there are actually out there, the comments there are lot more sellers than buyers is not really our experience. We have been approached by many different buyers from the multiple ranges of size whether it's smaller companies where there’s private equity, larger companies that there’s quite a universe of people who are buyers that are interested in assets and you can probably appreciate that. When I started talking about portfolio optimization the phone actually started ringing off the wall a bit with a lot of wires and many of those wires are serious buyers that are willing to look at paying a fair price for assets. So, I think we’d also be comfortable ultimately looking at various options in terms of optimizing our portfolio. So, we're not averse to multiple different types of transactions that could entail not just selling assets outright, but that's something that we'll continue to look at. But I think the opportunity for us to monetize assets going forward is actually quite strong and to do those at reasonably price levels.
Jorge Beristain: Great. There's just some kind of background noise on your line there, but just as a follow-up, I thought you mentioned something which I think really strikes at the core of this dilemma that…
Jamie C. Sokalsky: Sorry, Horhay.
Jorge Beristain: Sorry, you mentioned something which strikes at the core of the valuation of mining equities right now that there are good parts with inside the mining companies you mentioned, for example, that you've got eventually one-third of your reserves and above 55% of your production at four core mines, which if they were independently listed would be the third largest gold producer in the world. I'm just wondering if you could comment a little bit about, would Barrick be willing to go further in terms of even restructuring the company down the road if you don't see a reaction in your stock in the next few quarters from asset sales to perhaps take a different approach to splitting the company's assets in ways that would liberate the value trap therein?
Jamie C. Sokalsky: Well, I'd say that we're open to anything that will increase shareholder value, Horhay. But really right now, our focus is on ultimately making sure that we achieved some of the priorities that we're looking at, getting Lumwana back on track, ramping up Pueblo Viejo, ensuring that Pascua-Lama is advancing as we expect. So, I'm sure there are all kinds of different opportunities but our focus and priority is really on managing the company well, doing it under the disciplined capital allocation framework and looking to optimize the portfolio as we did as we attempted to sell ABG showed the seriousness of our approach and our objectives of selling assets. But ultimately, yeah, if there are other ways that we can increase shareholder value, we'd have to consider them down the road. But I think we've got to make sure that we manage his company well and can look at some of those things later.
Jorge Beristain: Great. Thanks very much.
Jamie C. Sokalsky: Thanks, Horhay.
Operator: Your next question comes from the line of Patrick Chidley with HSBC. Please go ahead.
Patrick Chidley: Hi. Good morning, everybody. Just a question on the details of the plan Lumwana this year. Just wanted to find out where you see grades going and what sort of strip ratio do you expect? And therefore just to give us an idea of what changes you see this year and how's that driving the cost profile?
Jamie C. Sokalsky: With Lumwana, I'd say that the grade -- you'll see an increase in the overall grade process this year. It's one of the reasons why the production is up. Ultimately, we did and in a lot of our exploration drilling did find some higher grades. Those didn't translate yet into an overall increase in the reserve grade, but due to the dilution in the block models and some of the costs in terms of those grades. But we're going to continue to work towards getting those ounces -- getting those pounds into the resource and the reserves. Our reserve grade process this year at Lumwana is going be up about 13% from last year. Anticipate the -- as I mentioned, the reserve grade stayed about the same but I'm optimistic that as we move forward and we look at potential opportunities to reduce costs, that we'll be able to hopefully get some of those higher grades into the overall resource and ultimately into reserves.
Patrick Chidley: So, grade up 13% a share at Lumwana?
Jamie C. Sokalsky: Yeah.
Patrick Chidley: Okay. And then just on another slightly subject is, in terms of your all-in costs, you’re now going to be talking about more. You include sustaining capital in that and that just – several of the companies begin to try and split out sustaining capital from development capital, which is then different from expansion capital. So just maybe you can – what’s your definitions as to what sustaining capital is, for example, will it include all of the development that you would need in the mine including deferred or stripping capitalized stripping?
Jamie C. Sokalsky: Patrick, why don’t I let I let Ammar answer that question.
Ammar Al-Joundi: Hi, Patrick. Its Ammar here and you’re asking a very good question that a number of people including the industry as we go through this and we’re finalizing the definitions of it are also asking, because there is a lot of interpretation. But what we’re including in sustaining capital is basically everything to continue to operate the mine. So, yes we’re including the standard definitions of sustaining CapEx, but also the stripping, the associated exploration, all of the things to continue to operate the mine.
Patrick Chidley: Okay. Thanks. And what about things, for example your low – your stock piling low grade ore, but you’re spending money to do that?
Ammar Al-Joundi: Well, there is – I mean, there is a specific accounting process for accounting that. That doesn’t really change much.
Patrick Chidley: Okay. All right. So that won’t be [included]. Okay. Thank you very much Ammar.
Jamie C. Sokalsky: Thanks, Patrick.
Operator: Our next question comes from the line of Stephen Walker with RBC Capital Markets. Please go ahead.
Stephen Walker: Thank you very much, operator. Just a couple of questions. First of all, on Pascua-Lama, I’m wondering if you could give us the two or three critical items that need to be accomplished at Pascua-Lama in 2013 to maintain the timeline that has been laid out so far?
Jamie C. Sokalsky: Well, I will add some – I will comment first Stephen and then I could ask Ivan Mullany who’s in the room as well to contribute anything else, but there are a number of critical items. One of them is the completion of the tunnel between Chile and Argentina where the ore is going to come through to the conveyor. We’re about 70% finished there. We’re making some good progress. It will be critical to complete that tunnel and it's – we’re certainly on schedule to be able to do that. There’s also the underground workings, very important area something that should be done and needs to be done in the summer season. It's a very extensive excavation, huge pipes are underground that are very -- a very important connection in the processing plant. It's hard to see in that photo that we had in the slide deck, but there’s a significant area of underground works that we’re making good progress on again, but ultimately it's something that is on the critical path. And then ultimately the pre-strip in Chile, we are still not able to pre-strip, and ultimately the ability to pre-strip which we still have certain time left in the schedule before that becomes a critical path item for us. That’s also going to be important, and so it's something that we’re working very hard to get the ability to pre-strip again.
Ivan J. Mullany: Steve, the only other thing is you can see the cladding going on to the big buildings and between now and winter is getting, the bulk of the cladding on to the big buildings, so we can start setting the equipment that is essentially purchased during the winter process and start looking at the electricals. As Jamie said, underground working is pre-stripped and the cladding on the buildings will allow to get productive work in the winter, which will commence in about March of this year.
Stephen Walker: Perfect. And just as a follow-up on the pre-stripping; can you give us sort of where things stand with respect to the ongoing legal and regulatory processes. If you could expand on what those are and kind of where you stand in that resolving those, I guess, two issues?
Jamie C. Sokalsky: Okay. Steven, I'll ask Kelvin to respond to that.
Kelvin Dushnisky: Sure. Hi, Steven. Well, I guess there's two things. First, in the fourth quarter of last year, there was unusually high wind and dust, and so we voluntarily actually stopped pre-stripping at that time. We had discussions with regulators and there's an agreement that we needed to do certain things to mitigate dust, add suppression measures, more ventilation in the tunnel and a monitoring program which are now well underway in working with the regulators towards, so that will help us get back on track. There's also water management. The program has a requirement to divert freshwater from water that could contact waste materials on site, and so having to work with the regulators now to refine the water management system as well. So the processes are ongoing. The discussions have been constructive, so we're on track but it's going to take a couple of months to get that back in order.
Stephen Walker: Okay. And that's the legal side of things or the two just combined?
Kelvin Dushnisky: That's the regulatory side. There is, as we reported earlier, there's a constitutional challenge that were brought by local residents. In Chile, there's a constitutional right for protection of environment and so individuals have brought claims. Those are working through the process. And so they're not directly linked.
Stephen Walker: And Kelvin, while I have you on the line, maybe you give us an update on Jabal Sayid and I apologize if you've covered this off. But where you stand on construction of the new explosives containment area and the timing on potential startup of Jabal?
Kelvin Dushnisky: Sure, Steve. Well, actually I'm happy to say we've been making good progress at Jabal Sayid over the last quarter, a little better than that. We've been constructively working with the regulators on kind of the new system, following their requirements for safety and security. And we've noticed some really good traction and constructive engagements. So, we're optimistic we'll actually be able to pull this schedule forward. I can't give a specific date around that, but at this point things look good.
Stephen Walker: Great. Thank you very much, Kelvin, and thank you Jamie.
Kelvin Dushnisky: You're welcome.
Jamie C. Sokalsky: Thanks, Steven.
Operator: Our next question comes from the line of Greg Barnes with TD Securities. Please go ahead.
Greg Barnes: Thank you, operator. Jamie or Kelvin, when would the pre-stripping become a critical problem if you don't get the permission to move ahead?
Jamie C. Sokalsky: Greg, its Jamie. The pre-strip, it's important for us to get that back on track sometime late in the second -- by late second quarter. That's important for us and should we not get the pre-stripping back on passed that period of time, then it could start to impact the schedule somewhat.
Greg Barnes: Okay. Just switching back to Lumwana, I'm just wondering what happens now without the expansion going ahead? What happens to those assets? How does the production profile evolve? And I think Jamie, you did say in the presentation, you expect to step change after 2013 there. So I'm trying to figure out what that means and what we should like at going forward?
Jamie C. Sokalsky: Well, Greg, I'll say that the step change is more directed towards getting the cost down rather than the production up in a significant way. I'd say that over the next number of years, the overall production targets won't dramatically differ from the targets that we've set for this year, perhaps targeting a higher level but not a significantly higher level. This is a mine that is likely in that at a current point around $2.50 a pound type mine. And on a going forward basis, we're certainly looking to try to lower the cost and there are many opportunities to do that. But ultimately, until we see either a higher increase in a copper price and if we had copper prices going above $4 a pound then we can start to reconsider doing the expansion again which has the potential to double the production. But we're going to need higher copper prices and/or a much lower cost for us to be able to consider that. I think it's important to stress that unless that happens and the returns are high, we’re not going to build the expansion, it doesn’t meet our investment criteria now. We’re not just going to produce that copper for the sake of producing it. But it is a great option for us and there are a couple of levers there, being the price of copper and the costs. And ultimately we’re hopeful that we will be able to get the production up in the future somewhat and lower the costs. But we still got some work to do.
Greg Barnes: Okay. And just one further question, with the royalty stream still obviously being a pretty attractive business with the recent transaction. Would you look at selling another 25% of the silver stream out Pascua-Lama?
Jamie C. Sokalsky: We got the – we sold the 25% of – to Silver Wheaton as you know and we put on a silver collar hedge that provides a floor and gives us a lot of upside, so that’s given us a fair amount of protection over the next first five years of the mine. I guess, never say never, if it was an attractive transaction, if it made sense for us in terms of generating some additional cash, so that’s something that we could consider, but it’s certainly not a high priority for us right at the moment.
Greg Barnes: Okay. Thanks, Jamie.
Jamie C. Sokalsky: Thanks,Greg.
Operator: Our next question comes from the line of Tony Lesiak with Macquarie Capital Markets. Please go ahead.
Tony Lesiak: Hey, good morning. Can you provide an update on the Turquoise Ridge open pit concept?
Jamie C. Sokalsky: Still have some work to do on that Tony. Quite a bit more drilling, still early days there. We have 75% of the project, Newmont has 25%. So very optimistic that ultimately this is going to be a large mine in Nevada. But lots more drilling to do there before we really get into any type of a prefeasibility or feasibility. So, too premature for me to give any type of more concrete information on that.
Tony Lesiak: Can you provide a timing for the prefeas, if there is going to be one?
Jamie C. Sokalsky: Not at this point. Probably next year or something that, I’d say we would be looking at 2014 as a possible date for the prefeas.
Tony Lesiak: Okay. And is there any way you could maybe give us a ranking of your growth options after Goldrush; if you could maybe list the top two or three that you’re most excited about.
Jamie C. Sokalsky: Well I would say that, as I mentioned in the presentation, in this challenging environment we have no plans to build any other, any new mines. We’re going to advance Goldrush; we’ll keep advancing Turquoise Ridge; we’re focused on Nevada. Those are really the most attractive priorities for us and I wouldn’t want to rank anything else at this point those projects, we’re going to have to wait to see if we’re able to improve the economics. We’re going to take a look at the Sally ultimately and rethink that project in terms of further exploration perhaps a smaller size. So, I would say that the priorities for the Company, once we finish Pascua-Lama really are focused on Nevada.
Tony Lesiak: Great. Thanks so much.
Jamie C. Sokalsky: Thank you.
Operator: Our next question comes from the line of Steve Butler with Canaccord Genuity. Please go ahead.
Steven Butler: Well guys, I was going to ask the question, but answered already on Turquoise Ridge. But as it relates to Cortez, Jamie the scoping study; what did it sort of point to? Did it point to a new expansion implied on Cortez or maybe just some – if you can sort of scope some high level parameters for us, if you could – going to share that? Thanks.
Jamie C. Sokalsky: Hi, Steven. Are you talking about Goldrush or Cortez?
Steven Butler: Excuse me; Goldrush. Thanks.
Jamie C. Sokalsky: Okay. I think there are multiple options on that Steve, there are a few options that we’re looking at in terms of open pit, some underground, a combination of both. And so as the scoping study that we have is an old scoping study that really was done based on the previous level of resources, that 7 million ounces of resources. And as we've said, we've doubled the resources now to 14 million ounces and ultimately, I think we need to refresh that scoping study and the prefeas to better understand the much bigger size and the greater potential of this asset. So, it's a combination of things that I wouldn't want to actually say this is the way we're going. Maybe, Rob, you can add some comments.
Rob Krcmarov: Sure, Jamie. The scoping study, as you say, was based on the smaller resource. That really contemplated offsite processing. So we had existing capacity at our existing processing facilities. I guess as the resource continues to grow, we'll look at trade-off studies to determine whether standalone processing facilities work well or not. But, again, we're very excited that this thing will continue to go. And just let me put this in context, Steve. Since 2001, there's been 14 plus 10 million as discoveries and Barrick's got through them. And of the 14, 95 are in production. I guess in my view, maybe some of those might not get into production in the next 10 years. And so of those 14, Goldrush has the second highest grade. So it is phenomenon. We have – as Jamie said, we've got plenty of options to consider, a combination of open pit, underground or either on its own.
Steven Butler: Okay. Thanks, Rob. Thank you.
Greg Panagos: Operator, this next question will have to be our last question of the call.
Operator: Certainly. Our final question comes from George Topping with Stifel, Nicolaus. Please go ahead.
George Topping: Great, thanks. Whew, just made it. A question on Pascua-Lama, Jamie. Under the split out of projects infrastructure, there's 250 million to 325 million allocated for -- for [amount] at Pascua-Lama? Can you tell me how much more is still to be done on the last category as distinct from the headline CapEx number?
Ammar Al-Joundi: Its Ammar here, George. That's pretty much it. As we described in our notes, what that is, is sustaining CapEx that was planned to be spent later. What we concluded was the focus on returns is we had the construction teams on-site. It was materially, economically advantageous to do those projects with the construction teams on-site. So that's why we've put that in there. But there's really nothing else.
George Topping: Right, okay. So [what’s] the option time and pre-strip suspension risk. The second question was on Pueblo Viejo. Can you share for us how January has shifted for the buildup at Pueblo Viejo?
Jamie C. Sokalsky: Sure, George. January has been going well. We produced at about 60% of the run rate that we fully expect on a 100% basis for the year. So that's pretty much in line with our expectations. And so we're getting the autoclaves online and in January, 60% is right in the ballpark of where we're expecting to be.
George Topping: Great. That 60% is on tons throughput or ounces?
Jamie C. Sokalsky: Ounces.
George Topping: Very good. Good, thank you.
Jamie C. Sokalsky: Okay. Well, thank you everyone. We'll close the call off now. I'd like to thank everyone for participating on the call today. We look forward to a successful year, delivering on all of our priorities and objectives and reporting to you and updating you on the further progress as we move forward, and look forward to speaking with you again soon. Thanks again for being on the call and we'll speak to you very soon. Thanks. Good-bye.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.